Harsh Sinha: All right. We'll get started. So thanks for joining everybody who's been able to make it here into offices and also those who are on Zoom. Welcome to our half yearly presentation. My name is Harsh. I've been with Wise for about 8.5 years. And in that time, I've been CTO and also I'm currently interim-CEO, filling in while Kristo is taking a well-deserved break, he'll be back in a few weeks. I'm also going to be joined by Matt, who you all know. He's going to talk through the financials and the numbers later in the presentation, and also I have Martyn who you all probably know, he's going to help us stay on time and manage Q&A. So this is our mission, money without borders. This is why I and 5,000 Wise's show up to work every day to help people and businesses manage their finances across the globe in a better way. And the problem is pretty big. There's £2 trillion that move cross-border every year for consumers, and another £9 trillion that moves cross-border for businesses - small and medium businesses every year. And when we talk to our customers, people tell us that accessing their finances and moving money around borders is pretty tough to do. It's slow, inconvenient, and expensive. But beyond that, overall, the international banking proposition really doesn't exist at a global scale, such that you can manage your lives in different countries and different currencies. And finally, the underlying technology that has been built and the network that has been built to build products on top of - to solve the cross-border problem is not really that great. It hasn't changed in decades. And hence, what we're doing about it is building the Wise Account, which allows consumers to move funds across borders very well and manage their finances. Wise Business, which allows businesses to embed these cross-border money movement and managing their finances into their workflows, and also building the network that manages the world's money. And we've been at it for about 13 years, and we're pretty proud of how far we've come, but we're still pretty small. We've taken about 5% of the personal market share, and we're still less than 1% of the SMB market share. So we're pretty proud how far we've come. We still have a long, long way to go. But we are building this in a fast and increasingly profitable manner, and that's how we continue to build Wise. If you look at our active customers over the last quarter, 7.2 million active customers on our platform, and also the volume over the last six months, about £57 billion moved. This is more than double from three years ago. And we continue to be increasingly profitable with tripling our income and quadrupling our adjusted EBITDA. So this is a framework that we introduced in June when we did the yearly results with Kristo, me, and Matt. We think about Wise as a generational company, and there are four big things in building this company. First, we have a massive problem, and the problem is big for people and businesses. Second, we continue to build Wise as we've built before in a fast growth but a profitable manner, and Matt's going to come on and talk about that. But what we believe really makes us generational is the way we invest in our customers and our products. So we believe in word-of-mouth-led growth, and we do that by building an amazing product that leads to evangelical customers, and also building a network, a new way to move money and manage your finances across the world on top of which we build these experiences for our customers. So I'm going to talk about the middle two more. Evangelical customers. So we invest in these three products. The Wise Account for consumers, allowing you to manage your finances across the world. Wise Business for businesses, allowing you to embed into your workflow how to move and manage your finances across the world and use international business banking proposition. And finally, Wise Platform that allows non-banks and big banks who have workflows which have cross-border needs to embed Wise into their platform. So what have we done in the last six months? For the account, we've rolled out more features in more places. So we rolled out the assets product across a lot more European countries. Today, our assets under custody in this product is £1.7 billion. We've also launched a new product for expats in China. If you live in China as an expat, the current products are pretty poor to enable you to move money out of China. So we've started that journey there. We've also removed charges that we used to have before in Australia for holding balances. Given we now hold balance for Australian customers, we had some interest there, so we are giving back and reducing the charges. And finally, we allow you to now send money to businesses in Brazil. These are some of the highlights. You should look at our mission update that we do regularly on a quarterly basis if you want to go deeper into more launches and releases we've done. But flushing out the Wise Account leads to this kind of adoption. 44% of our customers on the consumer side are now Wise Account customers. To give you some context, last year about a third of them were Wise Account customers. And then businesses, 58% are now Wise Account customers. And I'll give you some color on this. We've noticed that if you're a Wise Account customer versus just a transfer or a send customer, you are 3x more likely to transact on Wise. And as they continue to use the features and the products that we build, it leads to our customers being more evangelical to their friends and family about Wise. 67% of our customers and new customers joining are coming from word-of-mouth, which leads to us having this insane growth around word-of-mouth led growth versus spending a lot more on marketing. And these evangelical customers not only experience Wise from our own apps, but they also experience Wise from different experiences that are embedded into their own platforms, whether it's banks and non-banks. So this is the Wise Account - sorry, the Wise Platform product that we've built. And we have a diverse set of partners now across the globe, across all geographies, as you can see on the map. Actually, I'll give you one more thing. Today, we're having our Wise Connect conference in Singapore, which is an enterprise conference for banks to come and see how they learn about Wise Platform. And we did one of these in London in May, which is a pretty big success. So over the last six months, we have added more partners. We have now more than 70 partners connected to Wise, through the Wise Platform product. To call out a few here, Bluevine is another business neobank in the U.S. that has been added. So we basically have now covered most of the business banking proposition, neobanking proposition in the U.S. They're all powering the cross-currency through Wise. We've also added new partners for new use cases, like our multi-currency account usage and card issuance with Parpera and ProSpend. And then looking at non-financial services companies, Agoda was added, where they're a travel platform, very well known in Asia. They're using us for some of the cross-currency needs. So that's overall about evangelical customers and how and where they use Wise and how they interact with Wise. The second part is the network that we are building. I fundamentally believe that this is the biggest differentiator in the long run for Wise. And this is the competitive mode we are building. So our infrastructure is what enables fast and low cost payments. We are significantly faster on payment speeds if you compare us to banks, but also non-banks who are providing a similar service. 60% of transfers now on Wise are instant, which means it goes from the source account to destination in less than 20 seconds. But I'm also very, very proud of the numbers beyond the instant number. 81% of the transfers make it to the destination within one hour and 95% within a day. Compare that to a traditional setup where most transfers still take two to four days to show up on the other side. Talking about price, we're significantly cheaper and low cost than banks. 0.67% is our average price right now. Compare that to 3% to 4% for most banks and most markets. And in some markets, it's even higher. And it is this infrastructure that is getting increasingly difficult to replicate. So those who have heard us talk about this before, we think about our infrastructure in four parts. There's the expansions and the regulatory aspect and how we operate in every country and how we do licensing and manage those relationships. And there's also the technology and operational aspect of how we service our customers and build our product. So I'm going to really quickly cover on both these what we've done in the last six months. So on the licensing and connectivity, we fundamentally believe in connecting directly to more and more payment systems. Direct connectivity gives us two things. It gives us those instant speeds that our customers are wowed by and really love and what makes them evangelical. And also it reduces costs drastically by removing partners, which allows us to then have a lot more leverage on volume and the scale that we are operating at. In the last six months, we have now directly integrated into Australia's payment system. So we are now the first non-bank in Australia to have direct connection to NPP, which is our Australian payment system. This allows us to provide cheaper and faster payments to Australians, but also it gives us complete independence in that market going forward for Wise to operate. Where we don't have direct connections, we continue to build on a network of partners. We add redundancy in our network by having multiple partners for all the products we have in major markets. And one of the examples in this one is how in the U.S., we were able to recently shift from one partner to the other very quickly when we wanted to provide a different set of services for our customers. So along with that, we've also been investing a lot into how we allow our partners outside Wise, say the Wise Platform partners to connect to the Wise infrastructure. And some of you may have heard about the announcement we did around SWIFT Correspondent Services with our partnership with SWIFT. This basically allows banks who want to connect to the Wise infrastructure to not have to do a very heavy lift API integration, but actually make a config change and quickly make Wise their correspondent. So this allows them to then send instructions to us to enable the cross-currency movements. On our operational side of stuff, we are the biggest engineering team in the world now, we believe, to be working on this problem. Over 800 engineers are focused singularly on solving the cross-border problem. Along with that, we have over 1300 operational agents who are helping our customers work through when the challenges come up or make sure that they can continue to provide a great service for our customers. Also, the global product that we have built and the data that we collect from all these customers transacting across the world, allows us to build very sophisticated machine learning models to help us continue to work on fighting financial crime and also increase payment speeds so that we can continue to build a great product for our customers. I'll give you one example on this one. So as things change and the macro environment continues to change and regulatory environments change, I believe we are able to adapt and iterate faster given how much we can automate the work around servicing and operations by continuing to build these machine learning models. Whether it's how the sanctions regimes are changing, when things change in the macro environment, or whether there's new regulations that are coming in. So this allows us to continue to adapt without throwing too many people at the problem as compared to banks. So overall, I want to summarize what are we building here? The problem we're working on, cross-currency, money movement, and managing finances across the world, the market's very big, and we are still a small part of the overall market. And we are building this company in a fast-growing and profitable way, which I'm going to ask Matt to come on and talk about soon. But reminding you, the reason why we grow and continue to grow in this way is because we build products that are really resonating with our customers, 7.2 million active in the last quarter, and continue to grow that base by word-of-mouth, led growth. And all of this is powered by the longer-term investment we're making into building one of the - world's best infrastructure to manage your finances across the world. With that, give it to Matt.
Matthew Briers: Thanks, Harsh. Hi, everyone, nice to see you all. So let me talk you through the results. I always think that's what we're here for every six months, some of us. So some of this you've seen already, but it's worth just pausing on. You've seen in our quarterly half, we continue to compound our customer base at around 30% year-over-year. And that's driving a lot of growth, but also profitability in the company. Seen volumes, that's driving our volumes. It's driving our customer balances. And it's also driving our revenue and then our income. But also what's news today is the level of profitability that we see in the business. We generated £241 million of EBITDA in the period. That's a 37% EBITDA margin, and some 2.6 times what we saw this time last year. Let me talk about what's driving each of these and why. It's around active customer growth as we said a few months ago. Both people and businesses continue to compound that and grow year-on-year at around 30% year-over-year. That's actually what's happening underneath this, which is quite interesting. The increasing share of these customers are using multiple features of the accounts. So they're not just sending money, but they're doing more things as we said. And actually, so therefore the number of customers that are using multiple features is growing even faster than the active base. And this is really important because this is fundamentally what's driving the financial performance of the company and will continue to do so. And there's three things in there that we need to think about. To what extent is this active customer base growing cross-border volume? And we've seen that grow at around 12% year-over-year. So that's active customers driving this, and that drives our cross-revenue. But there's also two others which are really important. We have this other revenue line, which is predominantly card spend. So if those customers in the audience, you'll know you'd be able to spend on your card. So that drives interchange income and other fee income. And that's growing 90% year-over-year. And continues to grow really strongly as more and more customers use multiple features and use the card. And that's contributing significantly to our revenue growth. And then finally, customers are trusting us more and more as they use our account to hold balances with us. And this is in addition to the 1.7 billion that we now hold in the assets product. And that's growing 33%. And with a different interest rate environment, that's driving a significant amount of interest income into our business today. So let's go through each of these. Volumes actually have compounded broadly in line with customer growth over the longer term. You can see 34% CAGR over the last three years. And the last year they've grown 12%, partly because we've lapped a very strong VPC a year and two years ago. But also we've seen, there's no change in the trend is what we talked about in the last few quarters as to what's happened to VPC. You've seen that reduce over time. But still this active customer growth is really what's driving volume growth. Then the take rate, and we define take rate as all our revenue divided through by this volume growth has actually grown. So on cross take rate, as we've seen, we're trying to put downward pressure in the market on prices. Actually the cross take rate stayed relatively stable, but actually the contribution to take rate of this interchange income and other account features really driven this overall take rate up to almost 0.9% in the last quarter. And this is really driving revenue growth. Revenue is through 25% year-over-year in the period. Underpinned by the growth in customer base, underpinned by the volume and the trend on take rate, but also really kind of powered by the dynamics that we're seeing of adoption of the Wise Account across people and businesses. And actually this is pretty, we talk globally, we think about ourselves as a global company, but actually when you disaggregate this into the regions, you can see here that I think I've got some investors who've been here for five or six years in the audience. Like there's a very different picture now. Actually only 20% of our revenue is from customers based in the U.K., actually 80% distribute around the world. And this is an incredibly diverse global customer base and company now. And actually our growth is really being driven by all of these regions as well, which shows us that this problem really resonates everywhere we go around the world. And we're making great progress in solving it in many jurisdictions. So moving on to income, these customers, our customers are holding more and more balances with us. So this is over 30% balance growth, but this excludes the balances that customers are holding in our assets products. And over the period we've seen, we've seen changes to the interest rate environment. It's not been as stark over this last period as we saw before, somewhat stabilized as we know, but we saw a gross yields on our balances we earned of around 3.7%. But we shared before, we shared in our last results, like how do we manage our business relating to this interest income? We talked around how we wanted to share 80% of some of this interest income back with our customers. We paid our customers £50 million - £53 million in the last half year, but that's only 35% of this interest income over this 1% that we keep for ourselves. So we've made progress, but it's not at the 80%. So we have a lot more in net interest income than we aspire to in this framework. So you can see this come through in our overall income. Income grew 58%, as you know, this is not news for you over the period. Obviously underpinned by this customer growth and those multiple drivers, but also interest having an impact on that versus our revenue growth. So what happens, how does that come through to profitability? So let's start with gross profit. So we had a gross profit margin of 75% for the half year and almost £490 million of gross profit. There's a couple of things here. Yes, this increased level of net interest income would have boosted the gross profit margin, but also we saw lower costs relating to FX during the period. So that's when we make gains or losses on FX. We had a very good or lean and successful period if you like on this. And we also saw some scale overall operating costs. Some of these hopefully will endure, but some of these FX costs can be volatile and cyclical through the period, but fundamentally a very healthy gross profit margin for the first half of the year. So this gross profit margin is what we use and the gross profit is what we use to invest in our teams. And ultimately it's harsh, funds harsh, and all of these teams in building this network for the future. Our OpEx operating expenses grew almost 50% year-over-year, but that growth was largely driven by the hiring we did in the previous period, rather than hiring we've done in this period, if that makes sense. So actually the period-on-period growth between the second half of last year and the first half of this year, actually as you can see here was only six percentage points. We'll continue to invest in our teams, whether it's in our product engineering teams or into our operational teams to make sure we kind of keep up with the demand and the requirements we have around the world. But fundamentally this shows that we do have a, we do make sure that we keep these costs under control and keep an eye on scaling the business relative to how we're growing the overall customer base. But this all led to a much higher EBITDA. So we had $241 million of EBITDA, which was a 37% EBITDA margin. So fundamentally you can see that the profit potential in the business is clear. The question is, why is this? As we shared in June, we shared this framework, we tried to lay out clearly like how we're managing this new dynamic of interest income into our business. And broadly, I won't go into detail, but three things. First is we'd use the first percentage point, only the first percentage point of this interest income to make sure we hit our at or above 20% EBITDA guidance. Of the remaining interest, we'd aspire to share up to 80% of that back with our customers, which means that 20% of that would flow through to EBITDA. So that means we're not going to become dependent on interest income. And then structurally, as we see higher interest rates, we'll see higher profit margins. So what did we see? So let's go back to this 37%. This 37%, how does that compare to this at or above 20%? Well, if we'd have managed - to return 80% of the interest to our customers, we remember, as I said, we returned 35%, that 37% would have been a 29%, almost a 30% EBITDA margin for the period. And then actually, if you just considered interest rates only at 1%, and we said, we'll only use 1% in order to have a 20% EBITDA margin, we'd have seen a 25% EBITDA margin in the quarter. And what does this tell you? One is that you can see here the roughly four-point contribution to EBITDA of a higher rate environment, but also this 25% shows you an underlying very healthy EBITDA margin relative to what we've guided. So fundamentals of lower costs of goods sold, some scaling on OpEx, but also just good fundamental underlying profitability in the business. And then this flows straight through. Importantly, yes, we have adjusted EBITDA, but we have bottom line profits and EPS. The 100 almost $200 million in profit before tax and a significant year-on-year change, a total step change in the level of earnings per share. So what does this mean going forwards? Well, there's no change to our, really to our guidance. As you recall, we recently upgraded our income guidance for the full year. You saw that 33% to 38%, and that's upgraded five points and really fundamentally underpinned by the strength we've seen going into the start of the year. And then our medium-term guidance unchanged, which as I recall is an income growth CAGR of about 20%. And what gives us confidence here, is really supported by the opportunity in front of us, the rate at which we're compounding our customer base and the products that those customers are using on what. And our adjusted EBITDA margin, no change to the guidance. They're about above 20%. And as you know, that's fundamentally got a tailwind in a slightly higher, in a higher rate environment. The structurally, the way our products are working means that, we'll only become dependent on 1% of interest, but also like with a higher interest rates, you'd see a higher profit margins as we're seeing already flow through. So that's actually it for me. And remember, there's a couple of things. One is, we've got a massive market opportunity here and very exciting. We've said this - for many years and nothing's changing. And we're building a really fast, profitable business. But if you look under the skin and really try and understand what we're building here and spending more time with our teams, hopefully you'll understand what's special is. We really do build a product that customers love. And that's only able, because we're building this network for the world's money, which is all of these financial results are just a proof point that we can continue to invest in that over the last 10 years and over the next 10. Right, that's all for me. So let's do some Q&A. So Martyn's got the power with mic.
A - Martyn Adlam: Yes, thank you, Harsh. And thank you, Matt. We'll open up to Q&A. [Operator Instructions] Thank you.
Mohammed Moawalla: Thank you. It's Mo from Goldman. Two questions. One for Matt, just wanted to understand some of the moving parts within the VPC, because obviously you've been onboarding a lot faster pace of new customers, which will take time to kind of ramp up. Secondly, there's root mix. And then I think there's obviously your comment around the macro? So just curious to get your perspective on the comment in the release around the sort of the VPC evolution beyond 2024 and how much of this sort of maybe some prudence versus underlying kind of mixed effects. And then second one for Harsh, you sort of touched on platform. Can you remind us kind of how big? Thank you. Can you remind us how big platforms are today and the kind of aspiration of how big this can become as you scale? And I know we had a couple of larger banks, perhaps more in Asia, but where are the opportunities you see both in more developed markets from banks versus SaaS companies and others? Thank you.
Martyn Adlam: Thanks, Mo. We've just given Mo a mic he had so much just repeat the questions in case it didn't come out on the live stream. So one is, there's any touch briefly on the VPC dynamics of now and future and the second Harsh on platform.
Matthew Briers: So on VPC, there's - nothing's really changed here as to what we've talked about. So just as a recap, the primary driver we've seen impacting on VPC is we're seeing very strong growth and healthy growth in the number of customers that are moving less than 10,000 in a period. And actually slower growth on those moving more, larger amounts. And when we look at that, less people moving less money for property and investments. And that trend really hasn't changed over the last year since we've been talking about this. And in the current environment, we're not inclined to call when that rate may change, but fundamentally we're building a business that doesn't need it to revert. We're profitable, we're healthy, we're focused on what's driving customer growth and a franchise strong around the world that will build the best product for people to do this over time. Now, there are other factors on this, of course, like we will see faster growth. We've seen a great success in places like Brazil where we see a lot of strong customer growth, but this is not a primary driver of the change in the trend. Really, as we see a really strong growth in this customer base that's moving less, which is still an awful lot of money, I think that's 10,000 pounds in a period. Essentially you see a mixed shift in the VPC. So until they start growing at the same rate again, we're going to see this impact on VPC. If that makes sense.
Harsh Sinha: On platform, so it's still a very small part of our business, right. This is a very long game. If you think about how long it takes for a large bank to change their major integrations, this is not months or weeks or months, these are like years, right. So, and what we've learned so far is like, the proof in the pudding is that we've started to see some banks in Asia, as you're referenced, who are large banks, who are now looking to integrate and they have been able to swap out their existing connections with Wise. So for us, this is a long-term game. We fundamentally believe that the network we are building is helpful for not only people using our apps, but everywhere else where they have this need for moving money across borders. And we're going to continue to invest in it. But I would say this is still years, not months or a few years in the making. So, and yes, we are having conversation with banks and large banks institutions everywhere, but they all have their own cadence. So we look at every market as I said, it's a pretty globally distributed business now.
Martyn Adlam: Okay, let me play a kingmaker here on the questions. Okay, let's work left to right, James.
James Goodman: Brilliant, thank you very much. It's James Goodman from Barclays. I wondered first, if we could talk a little bit more about the other revenue. I mean, it's becoming a really significant driver of the business. You've given a few incremental stats today, 90% card spend growth. Wondered if you could talk a bit more about how much of that is domestic spend on those cards versus cross-border that we see within the volume, because we can start to then think about, what the interchange revenue is basically, what you're deriving there. If we think about a take rate from an interchange perspective, you're driving very significant volume actually over the card now, even comparison to the cross-border business. So a few extra data points there would be helpful. And then the second question was just around onboarding business customers. In the UK and Europe, there's been a little bit of press around some capacity constraints. I mean, on the one side, very good demand, but on the other, is there any issue in terms of onboarding? And if so, when will that be resolved? Thank you.
Harsh Sinha: Great, so I'll do one, you do two. Yes, very cool. So other revenues, you've got terrible names, Bucket. So we need to, but what this includes is predominantly exchange income, but also would include any fees that you as a customer may get charged making domestic payments, or if you're a business, you might pay an account fee upfront, or if you're a personal customer, you might pay a fee for your card, for example. But the significant driver of this growth going forward is really the interchange income. And I remember actually in the last year or two, we've stopped charging customers for domestic payments on this unit as well. So that's a dynamic in the growth rate here. Your question was really around then, how much spend do we see on domestic versus, we see both spend internationally and domestically, significant amount of domestic spend. We don't split those out or the quantum, but we have said actually all of our customers spend on cards domestically, but they also move money domestically on the accounts. And that's a significant number. Like, and we've said before, that's at least as big as the volume that customers are moving on Wise Account border. But you're right, they're spending significant amount. It's growing fast. People are using the card way more frequently. And it is fundamentally driving engagement, it's driving usage, and then it's also driving income or revenue and bottom line.
James Goodman: I just have a question on - 
Harsh Sinha: Yes, on businesses, on onboarding. So, yes, I mean, as I said, one of the key things that we care about is building a product experience that people are really wowed by, right? And that means having a tight SLA on being able to serve them. So when we, and sometimes these SLAs will change, like given the macro environment, sometimes regulatory changes are there, you need to do more due-diligence on certain kinds of onboarding. So what we've seen is that sometimes when we try to predict the demand that's going to come, it may be - we may be a little bit off in the prediction. And when that happens, we have a few levers to pull. One of them is, if we see that our SLAs will change too much, we'd rather stop onboarding new customers so that our current customers still get a good experience versus just having people sit in queue and wait, because that's what leads to having a not evangelical product, right? And that's, we don't take this lightly. So we're working very hard to get this back on. U.K. onboarding is back on already, but Europe is still off and we're working hard to bring this back on. But that's basically the current standard.
Justin Forsythe: Hi, Justin Forsythe, UBS. Good morning, Harsh, Matt. Congrats on the nice quarter. A couple of questions. The predominant one here first, Harsh, I wanted to ask a little bit about Wise Correspondent or the SWIFT partnership that you announced at Sibos this year. I mean clearly this could be a massive opportunity going forward, 150 trillion in flows annually going over SWIFT. I guess the first part of this? Which banks are you targeting with this i.e. understand the idea of hitting banks that maybe are not able or don't want to do an integration from a technical basis because of all the hard work they put into building their systems around SWIFT. I mean, maybe you can just talk about what is required with the integration that Wise has built from a technical integration perspective. Clearly not much, but exactly what is it? And what types of banks are you targeting? Is it the large banks that have built that infrastructure out or the smaller ones, which maybe would have already been a use case under Wise Platform? And then where does that show up in the P&L? And what is the revenue model? And then I guess, Matt, one for you, just on the hiring cadence, clearly you mentioned it slowed down quite a bit. I guess, are you expecting that to ramp going forward and how can we think of that on a kind of more normalized basis? Thank you.
Harsh Sinha: Yes, and I can probably do the P&L bit.
Matthew Briers: Cool, all right. So yes, I mean, we're very excited about what we've built. It's been quite a bit of like interesting, different way to think about how to build this product and get it to our customers. You are right. A lot of the traditional larger banks, they're already connected to SWIFT and they partner with SWIFT. And this allows us to then become a viable option for them to move their flows to us if they want to use the network. And actually, this was not designed in a vacuum. It was designed by the feedback that we got when we were talking to these banks, where they said, we love what you're doing. We see the infrastructure is powerful, but for us to do this heavy lift and shift on an API integration, which smaller banks can move faster on, it's not really feasible because it's a lot of build for us. And this was one way for them to start testing and using the network, even for maybe some routes versus moving all their flows. But this is basically, they know, like banks know how to change their correspondent, a SWIFT correspondent. That's very easy for them to do. So we are targeting larger banks to this and giving them one more avenue to try out the Wise Platform. And then some of them may then see the value of that and do a full integration. Some of them may stay on this. And to answer your question for smaller banks, neobanks, or those who don't have an offering, this usually is not the offering that they would use. They probably would still do a API integration. So that's how we think about it.
Harsh Sinha: Yes, and then if this bank onboards people, they turn up in our personal number or businesses the same? Yes, it should be, yes. So it's this way. So the second question is on headcount growth. So we hired a lot of people last year, both in our product and our finance organization and other teams, but also from a number of people in our servicing teams. That's grown slower in the last six months as we maybe somewhat consolidated. But I think we should signal that we're still hiring. You'll still see lots of open roles, but we're pretty surgical and thoughtful around where we're hiring and where we're investing. And as you'd hope and expect as a company, we've always been profitable and disciplined around this, but I would expect us to continue to grow, especially, we spoke about onboarding. We need to continue to scale those teams with the right level of quality to make sure that we can provide that capacity over time.
Martyn Adlam: Thanks for the questions, Justin.
Kim Bergoe: Kim Bergoe from Deutsche Numis. I have a couple of questions. I think some of them have been answered, the SWIFT, I've one about what that would mean. So I guess you answered that in VPC as well. Another question. So on dividends and potential dividends, you said you're not going to pay any. But obviously, you had, I think 95 cash conversion over adjusted EBITDA this time, so quite a bit of additional cash. You must have quite a bit now sitting in addition to what you need. So any sort of what are thoughts on that? How much - how comfortable are you having that sitting there?
Matthew Briers: So thanks for the question. I think I just said a couple of context on this first. We've gone a some of the race car from a small startup to a highly cash-generative profitable public company in a very short period of time. And that if you look at the profit before tax chart, not the EBITDA chart, the profit before tax, which is really what's driving us, is really ramps very fast. So it's - this is not a 10-year-old phenomenon, right? We're early on this journey into this. We do have a healthy level of reserves. And we started to use those, as you know, we've already start curing the stock base comp charge. So we started buying stock already. But I think we're quite - and then if you step back on this, you can see that actually, do we have confidence that we're building a really valuable company that's got massive capacity to pay returns to shareholders in the medium long term, absolutely yes. Really, we're talking about when we'll be starting now. And I think we're be early. We're still investing heavily in the business. We're still very thoughtful around strategically where are we investing our capital and our time. And we're really focused on that in the short term. And so no news right now on optimizing quarter-on-quarter on using the return of the cash to shareholders. You can see the investments we're making in product and engineering and marketing, super high return and scaling these and scaling the business with a super strong balance sheet is the right thing to do today in the current environment with the opportunity ahead.
Kim Bergoe: Great. Thank you. Just one additional, if I may. I remember when you IPO-ed, you talked about how SME growth there or how the outlook and the prospect for SME, will probably even, I think, if I remember right, that was sort of outstripping in the personal market. What's - how are you thinking about that? It looks like it hasn't, probably maybe because personnel has been very strong as well. But how are you thinking about that? And what needs to be done to make that even stronger?
Matthew Briers: I can comment on the growth rates, and Harsh, if you got anything to add on what we're building. So I think you're right, absolutely right, like if you'll ask me to predict like would - very proud and happy that our personal business has accelerated. And given this SMB business will run for its money over this period of time like our guide at the direct listing, three years ago now was to - was not to grow at the rate we've been growing that. So very proud of the personal business continues to grow really, really strongly and healthily. And so as the business, business actually, the small business, business, but it's just - you're right around the dynamics of personal. But the thesis there has just not in any way changed though. Either Wise Account totally resonates. The market opportunity is huge. It's built on this infrastructure but like - and we have rolled out a bunch of features for these businesses. But so there's no change in strategy or thesis around this.
Harsh Sinha: Yes, I mean, as Matt said, like I think the space is still very big and we haven't even seen like somebody suddenly pop up and take more of the market share per se. But so, I think there is still a lot more room to grow. The thesis still remains the same and we continue to add features, which make the Wise business proposition more relevant. So, I think it's just a timing thing.
Martyn Adlam: Nick Anderson?
Nick Anderson: Nick Anderson at Liberum. Can we just kind of talk, could you talk a bit more about the tension between kind of price and costs? Because obviously in the first half costs came in much lower than I think not just our expectations, but your expectations as well. Price, if you look at cross currency take rate is still kind of not going down. And obviously the original mission is that heading to zero. And again, you also look at that other side you showed, which almost showed like the normalized, if that's the right word, EBITDA margin, will be maybe 25%. So the question is, are we going to see price come down to get that margin back to 20% or just above 20% or has the Wise model fundamentally changed given cross border payments are what only about half of total income now very roughly? Thank you.
Matthew Briers: So there's no real change to the thesis and model around cross border payments. Clearly our source of income has diversified, but we're still managing to this, to the same margin structure. You're right to call out like, actually I'm glad I'm still on this page where we had this underlying margin of 25%. It tells us basically we're really five points ahead of where we expected. And that's down to a few things. There is an element of, so we had a lower cost of goods sold. That talks about currency costs. And you saw a scale half year on half year better off, for example, not credit losses. So, we saw an improvement in performance on a bunch of metrics and also our OpEx. So we're at a point now where we would look at that normally and say, well, can we, do we have the confidence to reduce prices or do we think some of these costs might come back? And we're just, we're conservative. So we're very, very thoughtful on this. So, we will, if we believe there is a long-term drop in our unit cost, we'd look at that from a price perspective, but we've also seen these costs, some of these costs come back. So what we do see is we're managing to at or above 20%. And you can see that actually we're performing quite well ahead of this. But if we get the confidence that over the long-term we've sold FX or we've scaled these costs, we drop prices. That's part of the challenges. We can drop prices instantly, but it takes us a few months to put them back up, because we have to give notice periods. So we're very cautious in yo-yoing with our customers.
Harsh Sinha: I would also urge you to look at our mission updates. We have dropped prices in certain routes. So when you look at the 0.67, it's actually the blended take rate and the price across. But if you look at our mission updates, like there are many routes we dropped prices on in the last six months. Exactly right.
Matthew Briers: And then the other is, is we have invested in our operational teams over the last year. And that's come through, like the SLAs have improved quite significantly. And you still see the word of mouth growth. So we know that actually cheap, the lowest cost service is great, but not if the customers are not getting a great service. So, we'll continue to strike that balance. And ultimately Net Promoter Score is a function of price, but also from speed and the convenience and the ease of use of the product. So we'll always make sure we invest in giving our customers the right service. Thanks, Nick.
Gautam Pillai: Thank you. Gautam Pillai from Peel Hunt. My question is on the infrastructure and the network you're building. And we talked about SWIFT and you're also connected into Australia's NPP. Is the product readily available for the customers right now? And also, what does it mean from a bank and partner fee standpoint from a COGS? Question, does it lower the COGS? And then to follow up on the EBITDA margin point you just mentioned. So yes, FX volatility is something which you can't predict and that will move up COGS up and down, but banks and partner fees are stuff, which is probably more in your control as you build the network. So does it mean that the gross margins over time should trend upwards or trend at the same level which you are seeing right now?
Matthew Briers: I'll answer that second. Do you want to take the first?
Harsh Sinha: Yes, so taking the infrastructure investments. So Australia, we've actually been live for a while, but now what it's done is the product gets better. Now we are the bare metal hitting NPP directly. And the fundamental thing here is we have basically got to the place where the price and the speed in Australia is the best it can be. And also there is, we hold our own future in Australia. There's no other things now anymore. We're directly regulated and also we're connected directly. So the product's been available for a while, but now it's a much solid product. For SWIFT correspondent services, yes, we launched it. Now we are getting some inbounds from banks, but still early days. So, we'll see how those integrations go, but we're pretty excited about it. And then we continue to invest in the network. Wherever we can, we'll go deeper more and more. And there are a bunch of threads open on this. We just basically parallelize this and some of them will come over the next few years.
Matthew Briers: But it has a big change on our cost, on the relevant part of the cost. So part of our COGS are cost of goods sold, our bank fees. And actually it has a step, total step change as we saw in the U.K. years ago, and the cost of moving money in and out of the payment system. And that can get passed back to Australian customers as and when that, I mean, they're pretty much live now. So once we move that through the pricing logic, but it's only part of the COGS. So that will pass through as a cost reduction and hopefully a price drop for those customers without impacting the gross profit margin. The question then on gross profit margin is, yes, we've seen a higher margin, partly, because of which contributed to the higher EBITDA margin, partly because of this effect. So I'd expect some of that to soften back over the cycle, but I still would expect an elevated gross profit margin through the rest of the year.
Gautam Pillai: Thank you.
Martyn Adlam: Got one at the back there. Hi Aditya.
Aditya Buddhavarapu: Hi, morning, Harsh. Matt, didn't mean to hide in the back here. Just a few questions from my side. So firstly, just going back to your licenses and infrastructure, I think you made some operational changes in the U.S. You mentioned changing a partner. Where are you in that process of getting direct connections to the payment system in the U.S.? How difficult is that? Second, you mentioned domestic spending on the cards increasing quite a bit. Can you talk about actually what's driving that? Is it SME or businesses versus personal, any specific use cases? And then finally, just given the recent sanctions issue and what you mentioned on onboarding, do you think you're at the right level where you need to be in terms of your agents or your fin crime staff, given the volumes you're seeing on the platform today? And of course, there's probably some automation you can do. If you could just talk about your thoughts around that as well?
Harsh Sinha: So we had three questions. Where are we with our direct connections, particularly in the U.S.? Secondly was domestic card. Yes, what's driving the card spend? And then third, come back to like, where are we from our capacity? Let me answer the second one and then maybe you get to the. So just on our card spend, what's driving that? It is domestic and personal, domestic and international usage. Domestic is a significant chunk of that, so is international. Really, it's the primary driver of that. If you look back at that chart, remember if the share of active customers or the number of active customers that are using multiple features, it's just the swell of more and more customers using a card rather than the, spend on a card per se increasing. So whilst we continue to see a growth in the active customers and a high proportion of those using the account, this is going to grow. It's a good proxy for that other account, other feeing, other revenue income growth. What are they doing? Well, kind of what you'd expect people using it, is that every day spend domestically or internationally and similar to what you'd expect for businesses, like nothing really too spiky. Cool, so on the U.S., yes, I mean, the regulation in the U.S. is that you have to be a bank to get access, direct access. So that obviously is not the case for us. So, we work with partners. We also in active conversations, and have been for a while with regulators there, to see what is the overall regulatory environment and what their conversations there are. What is the charter under which FinTechs should be regulated and with that, would we get access? So we are pushing for that. And some of this is taking the learnings from other markets and then also working with the regulators there to see how the value of that creation was helpful in the other markets. So for the foreseeable future, we still have to work with partners there. So hopefully that answers your question. And on Fin Crime stuff, so yes, I mean, the overall investment in the programs that we have, like we continue to invest more and more. I think the edge we have is, given we've built this global infrastructure and global network, we can really apply a lot more technology and machine learning models to help scale our detection of different patterns and also help our agents spend time on the right things versus having a lot of false positives. So, we are making the investments. We continue to make more investments. I think the reality is macro environment also has been changing a lot over the last year, year and a half. So those things are not just something that we are dealing with, even the banks and bigger banks are also dealing with, whether it's changes to sanctions regimes and other things. But we are continuing to invest. And as Matt said, even from a servicing perspective, we've added more heads there so. Great. So any more questions if we...
Martyn Adams: Great. So any more questions that we -- so we'll now move to -- I've got a few Q&A online.
Matthew Briers: I'll read this other one. So first question comes from the line of Josh Levin at Bernstein Autonomous. Hi Josh.
Josh Levin: Hi. Good morning. First question. So Bloomberg reported this morning that Wise is spoken to U.K. regulators about the challenges of returning interest income to U.K. customers because it's not a bank. Is there any possibility here that U.K. regulators might allow nonbanks such as Wise to pay interest income directly to customers? Is that a possibility?
Matthew Briers: It's within the realms of possible, Josh. But I think with having sympathy and empathy for our regulator, like there's a lot of complexity to work through in doing that. So there's good reasons why they wouldn't, and hopefully, good reasons why they would. So I would - we definitely would - we'd love to reward our customers with interest. But it's a complex issue to work through with our regulators. I wouldn't predict this is going to change anytime soon. But we'll work with the regulator side-by-side to try and to talk about this every time.
Josh Levin: Just one follow-up question on other fee income. I think you mentioned that's predominantly interchange, and the spend volume is at least as big as the cross-border volume. The take rate on the other fee income is about 20 bps already in the cross-border volume. So my question is as with interchange caps of 20 to 30 bps in Europe, do we see a slowdown in other fee take rate going forward? I'm going to ask it differently, if a customer was to use all of the non-money transfer products that Wise offers, would that take rate be in the 25 to 30 basis point range?
Matthew Briers: If all customers would be. So I mean, this take rate comes from around 40% of the customers, personal customers, that are using the Account and around 50% to 60% of the -- of the business customers. So clearly, if all of them used the -- if all of our customers use the account, you see a stronger contribution to the take rate from other. It will be double. If you do the rough maths on that, I think, Josh, that's what you're looking to do. So clearly, this take rate comes from only a small proportion of the customers that are using or 40% to 60% of the customers that are using, using the multiple features on the Account.
Josh Levin: Thank you.
Matthew Briers: Thanks Josh.
Martyn Adams: Thanks Josh. The next question comes from Soomit Datta at New Street Research.
Matthew Briers: Hi Good morning.
Soomit Datta: Hi there guys. Good morning. Thanks very much for the call. Just to go back to the issue of deposit remuneration Slide 38, I thought was kind of very interesting in terms of the margin profile. Do you mind just giving us a quick update, we just touched on the U.K. in terms of regulators and problems of returning cash. Could you give a quick update on where we are on the rest of the world? Just in the context of that benefit being paid to deposit is actually falling in the first half of the year. Just interested where that picture is around the world. I think we know where we are in the U.K. And I guess, ultimately, what is a realistic time frame for you to think about moving towards this 80% target in terms of cash return?
Matthew Briers: Thanks for the question. So let me try and keep this simple there. I think about it as four parts of the world. You've got the U.K., Europe, the U.S. and then everything else. And there are similar proportions. In the U.K., we don't return interest, but we do have the Assets products. And you can see the take-up of that is really healthy. So for customers that really want to earn interest account. They can get a return on the Assets products. In Europe, we can actually pay cash back to our customers. It's like interest, it's cash back. In the U.S., we have a product for their dollars. So if you're a U.S.-based customer, you can actually hold your dollars in an account. And we'll look at rolling that out for the pounds and the euros as well so that's what we're really working harder. And then everywhere else in the world, there's a combination of either it's not possible, like places like Australia or actually, the markets are small, we've already got to then yet. We've really been focused on what do we do in the U.K., Europe and in the U.S. So your question is a great one, which is like, well, that sounds hard. Like where is this -- as I said, we'd like to get to 80%, we're currently around 35%. It's like what's the rate of which, because I understand for our modeling the business projections, I need to understand it. It's going to take us time and a long time to get to make a lot of progress. We did say that we would do consider other things other than just pure interest, but we'll be thoughtful not to just drop prices or not, become too dependent on this. So, I would predict definitely through the coming quarters, some progress, but slower progress on this. I wouldn't expect this to radically shift any time soon.
Harsh Sinha: Yes, I think the only thing to add to that is like we continue to roll out the assets product across the world, and that mix might change unlike with customers want returns in an area where they think, but they cannot then they move their funds over.
Matthew Briers: Exactly, exactly. And customers are opting in, both in the U.K., and you can see the numbers very similar in the U.S., like it's been really popular. And so customers that want to earn interest is definitely able to do so, which is great from a relationship and a retention perspective. Thanks for the question.
Soomit Datta: Thank you.
Martyn Adams: Thanks Soomit. Next question comes from the line of Hannes Leitner at Jefferies.
Hannes Leitner: Hi. Good morning, everyone. Thanks for letting me on. I have a couple of questions as well. One is on customer growth in the first half, it was again very strong. Could you help us on the new onboarded customers share within that? And then I think on geographies, you mentioned already Brazil being strong. And the second one is just a follow-up on the U.K. onboarding of new businesses. Can you talk to us on what cost that influx of new onboarded customer's requests. And then how does this compare to last year and then maybe before pandemic? And the last thing is on hiring. It has been again strong. Can you maybe give us a little bit of a feeling how you think about hiring, and how does this relate to volume growth and to revenue growth?
Matthew Briers: So let me cover the first on the mix of new questions. So we haven't split out on a quarterly or half yearly basis, so the number of customers that are first users in the quarter or the period versus. We did share that we have around 5 million customers or more joining on an annual annualized basis. So the reason - a meaningful share still a lot, I mean, our growth is coming from. If you think about what's driving our customer growth. It's a very solid cohort performance of our existing base, when customers join the trend stick around. And then we top that up as we grow with acquiring new customers, primarily through word of mouth on top of this. We haven't split out like how much of the - what split of our actives are new versus prior period. But if you think about it purely from an active customer we have very good, very strong cohort behavior, and then we're obviously growing as a function of bringing more and more customers on board. So just going to clarify the second question again was...
Hannes Leitner: It was on the onboarding in the U.K. and Europe and how - what caused that spike? And then also if it's a spike, how does it's compared to last year and then maybe pre-pandemic levels.
Harsh Sinha: Yes Hannes, so I mean I wouldn't want to say that was a big spike suddenly of like business is rushing to onboarding to Wise. I think it's a mixture of things. So one is generally, we have to predict every quarter, like how much servicing needs we'll have and staff, the teams in that way. So some of the times, that prediction can be off. So that was part of it, and we are hiring more people. But then the other bit here is, also business onboarding generally is much more manual. So if you think about it today, like you as a customer, if you want to bring it in any product, you can pull out your passport and ID and do automated verification but business certification depending on what kind of business you are. If you are a very structured company, we have to go all the way up to the route ultimate beneficiary, that it's quite a lot of work, right? So when have to slow down on boarding, we easily - we'd rather slow down business that consumers because then we can onboard a lot more consumers still drive growth. So that's the choices we have to make. And eventually, it is a bit of like how we predict our volume going forward and like where are the things that we - moving pieces that we have around staffing our teams. And also what kind of profiles are coming into onboarding to Wise. If more complex business come on, then we might have to like do more due diligence. But going back to the key point here is we want to keep a certain level of service for those who are onboarding, have a great experience, hence, we decided to put live on this. And then we look to open it up as quickly as we can.
Matthew Briers: Thanks Hannes.
Hannes Leitner: Then the hiring?
Matthew Briers: I think I covered this earlier, which is we hired very strongly through the last - through the previous financial year. And we continue hiring through this year. But doing this at a, I would say, somewhat consolidation of the hiring we've done in the past, but also mindful that we are still trying to build this capacity, as Harsh mentioned, in our operational teams. Now there's a strong focus on automating, a strong focus on scaling but also making sure that we - but it's also a strong focus that we don't hold overinvest and hold too much pass through. So we will continue hiring over the next year, particularly in our operational teams, but it's sort of a metered rate, but kind of -- we obviously keep a focus on profitability and customer service.
Hannes Leitner: Thank you.
Martyn Adams: Thanks Hannes. We have one final question, which I'll read out because it's coming through the chat. From Alex Faure at BNP Paribas. Are you able to give a sense of the size of your sales force for Wise Platform, and how that's grown and how that might grow over the future.
Matthew Briers: Offline, maybe we can determine that. It's order of magnitude. It's grown definitely, and we've definitely grown that in multiple stations. It's pretty cool like just a hijacking question a little bit for me. If we call it like we ran the first banking conference in shortage six to nine months ago. Also we branded it with Wise Connect. So we had a lot of the world's banks saw that kind of cash managers, transaction banking, folks come to London and talk about Wise Platform products and their challenges. We're doing the same this week in Singapore. And the reason I say is, yes, we've grown the sales team for a few to many, so tens of many tens of people. But we've got the caliber in the teams now that's really driving progress and engagement with neobanks, tech firms, but also larger banks, not just in the U.K., not in Europe, but in Singapore, all across Asia Pacific where you can see we've made great progress in onboarding established banks, and obviously also in the U.S., just some of the - and on the other side of the world in Australia, the Harsh's slide here, so we can get back with the number. But the key thing is like we're scaling it at a rate that with any product, you need to grow the sales team at the right that the product is ready as well. And as always, it's easy to get that wrong, but we've been very thoughtful in scaling it at the right place.
Martyn Adams: Have no more questions.
Matthew Briers: That's great. Thank you all for coming. It's a roll on to have people turn up actually. And thanks to the teams as well in Wise, who have - we're just last few yards of the mile here. So thanks, everyone, directly and indirectly who's been driving these results. It's a phenomenal achievement. Thank you very much.
Harsh Sinha: Thank you.